Operator: Good morning and welcome to The J.M. Smucker Company fourth quarter 2009 earnings conference call. (Operator Instructions) I will now turn the conference call over to Mr. Mark Belgya; please go ahead sir.
Mark Belgya: Good morning everyone, and welcome to our fourth quarter 2009 earnings conference call. I am the company’s Chief Financial Officer, and thank you for joining us this morning. Also on the call from the company Tim Smucker, Chairman of the Board and Co-CEO; Richard Smucker, Executive Chairman and Co-CEO; and Mark Smucker, President of Special Markets who are all joining us from New York. And with me today in Orrville, Vince Byrd, President Coffee Business, Steve Oakland, President Smucker’s Jif and Hungry Jack, and Paul Smucker Wagstaff, President Oils and Baking. After this brief introduction I will turn the call over to Tim for opening comments. I will then review the financial results for the quarter and Richard will provide and overview of 2010 and offer closing remarks. At the conclusion of these comments we will be available to answer your questions. If you have not seen our press release it is available on our website at www.smucker.com. A replay of this call is available on the website. If you have any follow-up questions or comments after today’s call please feel free to contact me or Sonal Robinson, Director of Investor Relations. I would like to remind you that both in the prepared comments and during the question-and-answer period that follows, we may make forward-looking statements that reflect the company’s current expectations about future plans and performance. These forward-looking statements rely on a number of assumptions and estimates and actual results may differ materially due to risks and uncertainties. I invite you to read the full disclosure statement in the press release concerning such forward-looking statements. I also want to point out that the company uses non-GAAP results for the purpose of evaluating performance internally. Additional discussion on non-GAAP information is also detailed in our press release and on our website. I’ll now turn the call over to Tim.
Tim Smucker : Thank you Mark, good morning everyone and thank you joining us. As you saw in our press release, we had a very strong quarter with sales and earnings results much better then we expected when we spoke to you in February. I would like to open with a brief discussion of the fourth quarter’s performance before I summarize the year. Mark will then take you through a more detailed discussion of the quarter. Our strong financial results in the quarter were due primarily to four factors that were favorable to our forecast. First, higher coffee sales, second better then anticipated sales across all base Smucker businesses, third improved margins primarily in coffee driven a combination of efficient trade spend and lower short-term commodity costs, and fourth lower marketing and sales expenses. Certain of these benefits in the quarter are not expected to continue in future periods. Higher then forecast sales provided most of the improvement with approximately two-thirds of the sales outperformance coming from coffee. Easter which falls in our fourth quarter gave us our first opportunity to manage the coffee business through a key promotional period. Our execution of the Easter program was extremely successful and exceeded expectations. The combination of promotional programs, the impact of a fully integrated sales team, and the on-air return of a classic Folgers advertisement proved to be a winning formula. For some time the category has seen trended declines, however in March and April Folgers experienced significant sales growth and as you may have seen in the IRI data, the category volume grew at double-digit levels in April. While this magnitude of gain may be difficult to repeat, this quarter’s results in coffee solidifies our belief in the transaction and provides evidence that our ownership of Folgers will provide significant opportunities. We believe that the continued shift to at-home consumption contributed to our strong performance and as a trend we are well prepared for and think will continue. Family today are looking for comfort, consistency, and quality and as a result, turn to trusted products and simple pleasures. We believe our brands have earned the reputation of high quality and fair value, delivering consistently, and helping mealtime become a special experience. The strength of our brands provides us the confidence we see moving forward. Now I would like to review the key highlights for the year, a truly remarkable one for the Smucker company. First, we completed the largest transaction in our company’s history when we added Folgers to our portfolio. In less then eight months we have already accomplished the majority of our key integration milestones and are well on our way to realizing the $80 million in synergies. Second, we achieved record sales and earnings for the year with sales of nearly $3.8 billion and non-GAAP earnings of over $320 million, up 49% and 80% respectively. Third, we generated record levels of free cash of over $330 million, more then tripling last year’s level. We accomplished this in an environment where having cash and certain liquidity is much more critical to the day-to-day operations of the business then perhaps in the past. And finally, as a result of the increase in our market cap related to the transaction we were added to the S&P 500. These achievements are especially gratifying considering the difficult economic climate our consumers have faced over the last year. Quite simply we believe it comes down to the successful implementation of our strategy. The complexities of completing the largest merger in our history along with operating in this environment would not have been possible without the exceptional talent and dedication of our employees and we want to again thank them for their tremendous and continued efforts. As we look to 2010, we are excited about a number of new products and marketing initiatives which we’ve discussed recently at a number of conferences. Additionally as part of our desire to be the leading share of voice in the categories in which we participate, we plan to launch new advertising for many of our key brands. With the addition of Folgers, we are even better positioned to meet the needs of both our consumers and customers, fueling the strong momentum we achieved this year. We are confident that our strategy will continue to result in long-term growth and shareholder value. I would like to now turn the call back to Mark to have him complete his review of the financial results.
Mark Belgya : Thank you Tim, higher then anticipated sales was a key driver of earnings per share exceeding our guidance. Sales for the quarter increased $479 million or 81%. Excluding acquisitions and foreign exchange, sales were up 3% for the quarter primarily due to pricing taken in late 2008 and early 2009. GAAP earnings per share were $0.80 this quarter and $0.67 in the fourth quarter of last year including restructuring and merger and integration costs. Excluding these charges in both years, earnings per share were $1.02 this quarter and $0.73 in last year’s fourth quarter, an increase of 40%. Operating income increased over $130 million for the quarter excluding charges, and increased as a percent of sales from 11.3% to 18.4%. Excluding amortization, our operating margin reached 20% of sales, well above historical averages. We do not expect margins to continue at this level given the nonrecurring nature of certain items that contributed to the improvement. Gross profit increased $217 million over the fourth quarter of last year and was the primary driver of the increase in operating income. Folgers contributed over 90% of the increase. Gross margin improved from 30.9% to 37.4% this quarter. Adding Folgers drove much of the year over year improvement. In addition, Folgers gross margin was favorably impacted by the strong sales performance, the efficient trade spend during the Easter period, favorable green coffee market conditions, and product sales mix. Also, our higher sales volume allowed for favorable absorption of fixed overhead expenses. While having much less impact, gross margin for the remaining Smucker business improved 90 basis points over the prior year as pricing actions taken in the previous year continued to allow us to improve margin more in line with historic levels. SD&A expenses increased approximately $63 million dollars mainly reflecting the addition of Folgers but decreased as a percent of net sales from 20.1% to 17%. Corporate administrative expenses increased 33% which was well below the increase in sales for the quarter. This reflects the impact of leveraging the existing corporate infrastructure and realizing synergies associated with the Folgers transaction. We estimate that to date we have achieved synergies of $65 million on a full year run rate basis. Overall marketing expense as percent of sales declined as increased spending for the base Smucker business was more then offset by declines in Folgers. We simply did not incur the expenses that Folgers had originally budgeted as we redirected our focus on plans to reenergize the traditional coffee business. However we did increase coffee advertising spending during the quarter. Also significant manpower was focused on integration activities. This year we expect incremental investments to support or new marketing initiatives. Amortization expense for the quarter was $17 million, $14 million of which related to Folgers. During fiscal 2009 we recorded $33 million of amortization related to Folgers, down $4 million from the estimate we provided last quarter reflecting final adjustments to asset values. Looking at other key EPS components, interest expense was up $8 million reflecting the borrowings associated with the Folgers transaction. Subsequent to the end of the year on June 1st, we paid off $75 million of long-term debt from available cash. The effective income tax rate for the quarter was 33.2% compared to 30% in last year’s fourth quarter. Last year’s rate included benefits realized from the resolution of previously opened tax matters. The effective tax rate for the year decreased slightly from 33.1% to 32.9% this year. Let me now comment on our reportable segments, as detailed in this morning’s release we have realigned the reporting of our financial results into four segments. They are US retail consumer market, US retail oils and baking market, US retail coffee market, and special markets. To assist in modeling, in our press release we provided quarterly information for fiscal 2009 and 2008 under our new segment structure. Sales in our US retail consumer segment were up 5% in the quarter as Smucker's, Jif and Hungry Jack were all up primarily on pricing gains. Overall volume was flat with modest declines in peanut butter and fruit spreads. Volume for Smucker’s Uncrustables was down reflecting the impact of the FDA recall earlier this year and the current economy. These declines offset gains in Hungry Jack syrup, pancakes, and potato side dishes. Profit increased 7% reflecting sales growth, lower marketing and selling cost, and the recognition of synergies. In the US retail oils and baking segment, sales increased 7% compared to last year primarily due to price increases, and volume gains in baking mixes, frostings, and flour. Pillsbury had a very strong fourth quarter, up 50% in volume and dollars primarily due to new placements at key retailer, and softer comparables from last year. As anticipated Crisco sales were down reflecting the 13% price decline effective this past January, competitive activity, and gains by private labels. You will recall that we expected significant competitive activity around Easter, following our strong fall bake. Segment profit declined nearly $4 million as planned increases in marketing primarily in support of Crisco Olive Oil, more then offset profitability improvements in the baking business, and a better matching of prices to cost. The US retail coffee segment contributed $413 million to net sales for the fourth quarter of 2009. Folgers and Dunkin’ Donut sales strongly outperformed the prior year. During the quarter the coffee category reversed its downward trend with Folgers exceeding the category growth. Compared to the same three month period last year prior to the transaction, our coffee segment sales increased 6%. Volume growth of 16% more then offset the impact of price decreases taken over the last 12 months. The coffee segment contribute $151 million to segment profit and achieved a 36.5% margin, a level at which we would not expect to continue in future quarters. Total sales in the special market segment increased 25% due mostly to the impact of Folgers, Knott’s Berry Farm, and Europe’s Best acquisitions. These more then offset the impact of foreign exchange and declines in the foodservice portion control and natural foods volume. Profits in the special markets segment increased 54% for the quarter mainly due to these acquisitions. As part of our original Folgers pro forma information, we estimated a first full year EBITDA of $820 million or a 17.3% margin. In this definition EBITDA excluded merger related costs and added back share based compensation expense [as] amortization. For 2009 EBITDA as defined above, was $668 million reflecting only six months’ of Folgers, or 17.8% of net sales, exceeding our first year pro forma margin target. Cash provided by operations was $156 million in the fourth quarter. This raised the full year amount to $445 million for the year which more than doubled the 2008 amount. Subtracting capital expenditures, free cash flow for the year was $336 million compared to $103 million last year. As a result, cash and cash equivalents totaled in excess of $450 million at year’s end. Turning to 2010 key components effecting our cash flow in addition to income include: capital expenditures of approximately $120 million or about 2.7% of sales; depreciation and amortization including amortization of the share based compensation of approximately $195 million; payment of $550 million in debt maturing during the year; dividends of $165 million based on current rates; and finally, merger and integration costs of approximately $30 million to $35 million. I would now like to turn the call over to Richard.
Richard Smucker : Thank you Mark and good morning everyone. With yet another record year, I would like to join Tim in thanking our employees. They had delivered these results while integrating the largest merger in our company’s history. Since our earnings call in February, we successfully completed the second of three key integration milestones with the transition of the manufacturing, warehousing, and administrative systems onto our Oracle platform effective May 1st. We have achieved most of the key integration activities and are pleased to report that they have been executed seamlessly and there have been no major issues or concerns. This year our focus in coffee will be on the following areas. First, achieving the final major milestone expected to be completed in the fall of transitioning the green coffee system onto our Oracle platform. Second, we will continue our efforts to reestablish focus on the traditional Folgers business which makes up approximately 70% of the US retail coffee business. Achieving long-term growth in the traditional business is essential to growing the overall coffee business and is our number one priority for 2010. Third, we will continue to capitalize on the gourmet coffee segment with the fastest segment of the at-home coffee business. We will emphasize growing the Dunkin’ Donuts business in all retail channels. In less then two years since its introduction, Dunkin’s sales now exceed $200 million on an annual basis. And finally we expect to achieve the $80 million synergy target by the end of this fiscal year. While much of the organization’s efforts this year will continue to be completing the coffee integration, we will remain focused on our efforts to grow our brands, provide value to our consumers, and deliver on our purpose of bringing families together to share memorable meals and moments. You will see this through product innovation, cross-branded theme marketing events, new advertising, and continuing partnering with our retail customers. Now turning to our financial outlook, we expect net sales of approximately $4.5 billion. This represents an increase of 20% over 2009. Owing the Folgers business for the whole year compared to the six months that we owned it last year, is anticipated to contribute additional sales of $800 million to $850 million. Sales in the base Smucker business are expected to decrease by approximately 3%, primarily reflecting the full year impact of price declines mainly in oils and baking. Volume is expected to increase by a little over 1%. We expect non-GAAP earnings per share for fiscal 2010 of $3.65 to $3.80, ahead of our original June, 2008 guidance of $3.62 to $3.72. Included in this range is approximately $0.40 per share of amortization resulting from the significant amount of intangibles on our balance sheet. Excluding amortization, our 2010 forecast will be $4.05 to $4.20 per share. Based on these earnings, we anticipate EBITDA will exceed $900 million or approximately 20% of net sales putting us nearly a full year ahead of schedule in terms of our EBITDA forecast. Key assumptions for the 2010 estimates include gross margin for the year at 250 to 350 basis points better then our 2009 full year level. This reflects the impact of a full year of the higher margin coffee business and approximately $100 million in lower raw material cost excluding green coffee. Most of these cost decreases were anticipated and have already been factored into previously announced price declines primarily in oils and baking. SD&A including amortization is expected to approximate 20% of sales. Marketing and selling is planned to increase in support of key Folgers initiatives and new advertising for many of our brands. Second, additional pension expense of $10 million is included. And third, the full year amortization expense is estimated at $73 million, with $66 million related to Folgers. This represents incremental amortization expense of $33 million due to owning Folgers for a full year, but is $8 million less then what we forecasted last quarter reflecting the final adjustments to our asset values. Interest expense of $66 million is expected for the year. This reflects the impact of debt maturities occurring during the year along with assumed borrowings under our revolving credit facility. We expect a full year tax rate of 34%. And finally, we are basing our earnings range on weighted average shares outstanding of approximately 118.5 million shares. As a reminder, the addition of Folgers magnifies the seasonality around the holiday time period. Based on current estimates approximately 55% to 60% of our sales will fall in the second and third quarters, with the remainder split equally between the first and fourth quarters. Our working capital requirements lead our sales seasonality with inventory buildup occurring in the first half of the year. So in summary, we had another record year in a very challenging environment. Second, we completed the Folgers transaction and in less then eight months have achieved the majority of our key integration milestones and realized most of the synergies. Third, we generated record levels of cash and our financial metrics are well ahead of the targets that we set when we announced the transaction. And finally, we believe that our strategy of owning and marketing leading North American food brands and our ability to successfully execute on this strategy, positions us well for future growth. And as a result we have increased our outlook for the coming year. We thank you for your time today and we are happy to answer any questions.
Operator: (Operator Instructions) Your first question comes from the line of Eric Katzman - Deutsche Bank
Eric Katzman - Deutsche Bank : Congratulations, well deserved in a tough economy and a tough time, I guess I wanted to ask a couple of questions on the coffee business, now that you’ve owned it for six, seven plus months, can you talk a little bit about the $80 million synergy target, it seems like things are going quite well in terms of how you’re integrating it and also how the recent volatility since the quarter ended in coffee is kind of worked into your assumptions on that business for all of fiscal 2010.
Vince Byrd : Well a couple of things, as I think we’ve mentioned in the script first of all, we’re well on our way to achieving the $80 million and a majority of those have already been achieved during the fiscal year on an annualized basis. There is a gap yet, so we feel very comfortable that we’ll be able to get there. In regard to your second point, yes there has been an increase, I assumed you’re talking about green coffee commodities, as you know there’s a situation in Columbia which we took a price increase in the fourth quarter to cover those costs. We’ve also talked historically that the previous owner was pretty transparent about pricing, when it met certain thresholds up or down, we would adjust prices accordingly. And clearly during the quarter we had a slight benefit from where green coffee sat, but as we look forward and you look at May and June, it took a pretty sharp increase but its now settling down a bit. So we’re still in that zone, what I consider that no pricing is required. Also I think you’re aware that we had announced we’re doing what we call a price adjustment with trade spend and we’re also hoping that we don’t have to take any pricing during this period of implementation which occurs at the end of this month.
Eric Katzman - Deutsche Bank : And then just to talk about the core business, I guess I was a little bit surprised given what a lot of other companies in the industry have alluded to as the center of the store being quite strong, your volumes were pretty I guess flat on the core and I’m kind of wondering how much the edible oils and/or the peanut butter hit accounted for that volume being flat. Do you have those numbers?
Mark Belgya : As we saw last quarter, we saw the same thing this time, the volume in oils in particular did drive and sort of leveled out the overall company volume. We saw significant growth for example in Hungry Jack in the potato and the pancakes area which we’ve talked about sort of return to home eating. So the volume decline in oil, peanut butter was somewhat expected but it was actually better then we would have thought three months ago when we talked. So yes, I would attribute it primarily to the oils.
Paul Smucker Wagstaff : And just in the fourth quarter as you may recall for fall bake, we did have a very strong fall bake for oils and we anticipated that we’d have a rather difficult fourth quarter. Typically if you win fall bake you don’t do as well in Easter and so we were anticipating that.
Eric Katzman - Deutsche Bank : And then the, I think you just said that there was a $10 million expense on pension for this year but did you mention what the cash contribution may or may not have been to the plan.
Mark Belgya : Sure, we made a contribution of $30 million in April and that is factored in obviously to the numbers. The $10 million pension expense is incremental in fiscal 2010 so that’s about $0.05 to earnings, but we don’t expect much of a required additional cash contribution in the coming year.
Operator: Your next question comes from the line of Farha Aslam - Stephens Inc.
Farha Aslam - Stephens Inc. : Congratulations again, looking at your peanut butter you had assumed that it would cost $0.05 to $0.07 in EPS, if you net it out, how much do you think it ended up costing you.
Steve Oakland : I tell you, our team did a great job. We were able to, we actually spent the money we talked about but we were able to offset some of that expense. We went on with a Trust Jif national television message. We were able to trade out some existing media inventory which helped a lot, so that number dropped a little less then half of what we initially had given you. We actually spent the money but we were able to offset a little more then half of it, let’s say.
Farha Aslam - Stephens Inc. : Okay, and then when you look at marketing spend which was down for coffee this quarter but as you look into the timing of your marketing expenditures for next year, how would you have us think about it.
Mark Belgya : Consistent, I’ll talk sort of from a flow and then Vince can talk about maybe the absolute, from a flow perspective it does pretty much align with the sales so as we talked about, 55% to 60% of our sales will fall in the second and third quarter. That’s pretty much the way one would expect to see the marketing expense hit the P&L because its basically a ratio of sales.
Farha Aslam - Stephens Inc. : And then on your cash flows, given that you have that big inventory build in the first half of the year and you also have about $550 million of debt coming due, do you plan to refinance that debt with new debt in the public markets or do you plan to use your bank lines, can you give us some color on that.
Mark Belgya : Absolutely, while we do have currently $180 million revolver that is untapped, so we do have that. But we are also in the process of looking at additional facility. It likely will be bank finance and it will really pretty much serve as a backstop to our liquidity needs for the near-term. But we think generally that between our cash, the cash we’ll generate during the first six months of operation and the $180, that should get us through pretty much through November.
Operator: Your next question comes from the line of Jon Andersen - William Blair & Company
Jon Andersen - William Blair & Company: Congratulations on a terrific quarter, I was just wondering if you could comment a little bit on some of your larger categories and just the share trends there, where you’re gaining share, holding share, maybe seeing a little bit of erosion in share.
Vince Byrd : Obviously with the strong sales that we had in the quarter we saw a significant share gain as I think Mark alluded to earlier, the category grew as well. So obviously we saw share gain over the last four and 12-week period.
Steve Oakland : And if we look at both peanut butter and fruit spreads, we’ll speak to fruit spreads first, I think the devil is sort of in the details there. You need to look at the volume share and the dollar share. I think in some other calls we’ve talked about, we’ve seen a little shift in our higher value items like Simply Fruit and Sugar Free, that volume has shifted to traditional fruit spreads. And those are both great items for us but we’ve seen the consumer go to the products that are a little lower cost per serving. So that has impacted the dollar numbers but if you look at the tonnage numbers, they’re much better. So depending on the measure and if you look at a 12 week versus 52 week, you’ll see measures for the fruit spread tonnage is actually up in share even though the dollars are down a little bit and that reflects that shift in purchase patterns. And peanut butter is still really touch to tell. If you remember we had a competitor out of the market for a year, they’re back and so there’s a lot of noise in peanut butter. You see a lot of the players down because of their reentrance in the category. So probably be able to speak to that better in the next period or two.
Paul Smucker Wagstaff : I’ll speak to Crisco, the oil and the backing side, starting with Crisco first, obviously before the quarter we were down in some share. Again that was anticipated as I mentioned earlier, we had a fantastic fall bake and its not surprising that for Easter and that time period we were down. That being said, looking at the Pillsbury side of the business we had significant share gains on the cake as well as the frosting side. So on the baking piece we’re, we did very, very well.
Mark Smucker : The trends in Canada were similar to the US in that some of the, we did see some of the higher value products, the share would drop but we have seen also that where we may have lost a little bit of share in the past to private label, we’re starting to see a little bit of that come back to us.
Jon Andersen - William Blair & Company: I don’t think inventory destock has been a significant issue for you in the past, but as you kind of consider your inventory levels at retail at present, and could you comment on that. Do you feel like the levels are pretty solid now and that sell in should be tracking sell through pretty closely.
Mark Belgya : You are correct that (a) we do track it for those that we have visibility to and we have typically commented that that’s not a material impact one way or another. There was only one minor exception where a retailer chose to get some inventories back to maybe historical levels that had gotten a little light. But overall I don’t think that that was the major impact across any of our US retail businesses.
Jon Andersen - William Blair & Company: With respect to Folgers, was the shift in marketing spending, was that a surprise to you and could you give us a little more color on what happened there and what to expect. It sounds like some of its going to shift from Q4 into the first portion of 2010.
Mark Belgya : Yes sure, it was not a surprise, it was a conscious decision that what we did was we felt that again we want to focus on our core Red Can Folgers business and we actually increased advertising during the fourth quarter by about, I think we shifted between $3 and $4 million to really support that core business. But given all the other activities that were going on as it relates to integration and organization we chose quite frankly just to put other activities on hold and did not, and made a conscious decision not to spend those funds. So we’re probably as a percent of sales below where we will run historic, or where we will run going in the future.
Jon Andersen - William Blair & Company: Can you comment at all on kind of your plans for fall bake, pricing, costs, new products, the merchandising set, etc.
Paul Smucker Wagstaff : For fall bake, we’re actually, we feel positioned pretty well right now. We have our costs in line with our commodity purchases and as we’ve talked in the past we try to cover through fall bake at this time period which we are and we’re in very good shape there. We do have a couple of new items that we’ve launched, one is a frosting item and the other is a brownie item. Both have actually seen very good acceptance with the retail trade and both are shipping as we speak. So we’re pretty confident about fall bake.
Operator: Your next question comes from the line of Eric Serotta – Consumer Edge Research
Eric Serotta – Consumer Edge Research: Hoping you could just for a little bit of housekeeping items here, could you quantify what the delta in marketing spending was behind Folgers versus your expectations three months ago for the quarter and what’s sort of order of magnitude the temporary, the timing difference between green coffee costs and price realized resulted in the quarter.
Mark Belgya : Without getting into specific dollars, what I would direct you to in our press release, in our reconciliation of gross margin to operating profit, we have a line item in there that’s marketing and selling and if you see there, I believe the number was like 7.7% for the quarter. If you compare that to where we were on a historical basis or where we were sort of through the first three quarters, that delta if you will, is you can kind of dollarize that and that should give you a pretty good sense of that marketing.
Eric Serotta – Consumer Edge Research: Okay, and then clearly one of the broader strategic benefits of the Folgers acquisition was the increased scale that you would have with your broker sales organization as well as the increased relevancy to have with the retailers in the center of the store and the better fixed cost absorption and overhead absorption that you’d have as a company, better operating leverage that you’d get, I know this was an unusual quarter in terms of Smucker and maybe its too early to tell but how are each of those pieces tracking versus your expectations.
Vince Byrd : I would say that they have exceeded our expectations as to where we are. Basically as you recall on the day of the close our sales team took over selling the new coffee business. You may recall that the FCC group that actually appointed Advantage Sales and Marketing as their national broker which we had done about a year earlier, so that transaction was much more seamless then it would have otherwise had been. I would say that our sales and marketing teams clearly executed beyond our expectation in terms of the Easter timeframe and then of course, that drove efficiencies out to plans. So the team is up and running. We feel very confident where we are and again, as you look from a macro perspective as I commented earlier about synergies, we’re well on our way to achieving those.
Operator: Your next question comes from the line of Chuck Cerankosky – North Coast Research
Chuck Cerankosky – North Coast Research: Splendid quarter gentlemen, you talked a little bit about trading down in some of the categories, how about where you reduced prices say in coffee, I know oils was a bit of a problem, but coffee and some other categories, what was the consumer response in volume trend.
Vince Byrd : Well again I’ll speak to coffee, we’re dealing with a category that was basically been flat to declining for about a 12 month period, but during the quarter we actually saw double-digit growth during that period. So whether that was driven by the price declines that had acted over the period of time or whether that was a result of I think probably more importantly the very strong Easter promotional period we had. But so I suppose consumers reacted positively overall to the pricing and promotional activity.
Paul Smucker Wagstaff : I would just add on in the flour side, we did take a price decline and we’ve actually seen the volume increase due to that so I think we’ve seen nice response from the consumers.
Chuck Cerankosky – North Coast Research: How about following the Eagle price decrease.
Paul Smucker Wagstaff : We’ve just announced that so that has just come out here in May so I think that’s a little early to see.
Chuck Cerankosky – North Coast Research: Just interesting thought to see what consumers are responding to, can you speak to volume shifts within your distribution channels among the different types of retailers during the quarter.
Vince Byrd : From a macro perspective I think its fair to say, I think we like most CPG companies you do see consumers going to alternative channels and seeking some of their shopper items. So I don’t have the specifics of what that shift was during the quarter but in general that is a trend that is consistent.
Richard Smucker : Some of our value retailers are having great years.
Chuck Cerankosky – North Coast Research: Kind of an accounting item, that $9.1 million noncash charge related to the divested Canadian business, was that, how did that flow through, was an expense item but did that, was that like a final adjustment to sales proceeds.
Mark Belgya : It actually was a noncash item, kind of funny, we expected that, actually talked about that a couple of years ago, but as you might recall when we did that transaction, the individuals that were involved in the transfer of the business, we also transferred the pension liability and once we got approval from the Canadian government, we were able to formally transfer the liability and the assets and with that there’s an accounting charge that’s called a settlement charge, and that’s what you saw come through. It has always been intended to be part of our restructuring, the amount was in line with what we expected and again, it was a noncash item.
Chuck Cerankosky – North Coast Research: So you weren’t sending anything back, or anything in escrow. It just—
Mark Belgya : That’s right.
Operator: Your next question comes from the line of Mitchell Pinheiro - Janney Montgomery Scott
Mitchell Pinheiro - Janney Montgomery Scott : So when I look at the $850 million sort of incremental Folgers sales, that’s a wide range and I was just wondering what the difference is in terms of the spread between what you’re thinking on the low end versus the high end of that $850 range.
Vince Byrd : I think it’s a combination of trying to predict category growth, trying to predict our share growth, and then of course pricing of green so its, that’s why the wide range.
Mitchell Pinheiro - Janney Montgomery Scott : So in terms of your every day low pricing strategy, what you hope to shift to later this month, so what’s the downside, I know its revenue neutral but is there any element into that.
Vince Byrd : Well not really but let me just be very clear, we did not shift 100% of those trade funds to every day price but we did shift a fairly significant amount. So what is the implications of that is that we will not be able to deal as low as has been done I’ll say over the past couple of years and then it also depends on what competition does [with this course] as well. But we believe it provides a very, better every day value to the consumer and gets them not trained to just buy on deal so to speak.
Mitchell Pinheiro - Janney Montgomery Scott : Does it help your manufacturing, the supply chain end of the business.
Vince Byrd : Yes, sure, there’ll be some efficiencies from that perspective that you won’t have maybe the peaks and valley’s that you would have otherwise have had.
Mitchell Pinheiro - Janney Montgomery Scott : In terms of private label, you had mentioned that I saw private label I guess coming back to brands in Canada, could you talk is there any other, any significant shift in sort of consumer buying patterns in the US and any of your core categories.
Vince Byrd : Well I think we spoke to it earlier by category, and I think in a macro perspective private label has grown but these things tend to go in cycles and in most categories with a couple of exceptions we’re holding our own or actually growing share. I think the one exception is the one Paul referred to earlier.
Paul Smucker Wagstaff : Right, in the oil business obviously private label has grown significantly over this past year and we have seen a little bit of that slowdown in the recent four week period so, we’re hoping that’s a trend.
Mitchell Pinheiro - Janney Montgomery Scott : A couple of other sort of housekeeping things, in terms of depreciation and amortization, could you break down what those two items are.
Mark Belgya : Yes, I’d say depreciation is about $100 to $110 and amortization including the restricted stock compensation expense would be the remainder.
Mitchell Pinheiro - Janney Montgomery Scott : In terms of the goodwill amortization adjustment, you mentioned I think $33 million of incremental amortization in fiscal 2010, is that the right number.
Mark Belgya : That’s correct.
Mitchell Pinheiro - Janney Montgomery Scott : I thought the incremental amortization’s total would have been around $40 million, is that, not just for the year but incremental, you don’t want to roll on a full run rate basis.
Mark Belgya : Originally it was going to be when we talked in February it was about $44 million, the total was going to be around $73 to $74 million, that total now is $66.
Mitchell Pinheiro - Janney Montgomery Scott : And in terms of the guidance, overall sales guidance, if you exclude Folgers, if you said this I apologize but what was the pricing expectations be for the core base Smucker.
Mark Belgya : The pricing was primarily just in the oils and baking.
Paul Smucker Wagstaff : Right, from an oils and baking perspective, we did take the price down in January on wheats, oil, and we are really covered pricing wise through fall bake. So we would look at obviously how the commodities do until that time period and make an adjustment after fall bake if needed.
Steve Oakland : And on fruits spreads and peanut butter, there doesn’t appear to be anything material. There’ll probably be something on raspberries when the new crop is out but given the size of the rest of the business, it will not be material.
Mark Belgya : I think its probably net, net its about a 2% to 3% impact for the total company.
Operator: Your next question comes from the line of Ian Zaffino - Oppenheimer
Ian Zaffino - Oppenheimer : Good quarter, I know we talked a lot about the $80 million in synergies, but we can look past that maybe on the top line, what you anticipate from some of the selling synergies or some of the top line synergies, I don’t know if you can quantify that or at least give us some time of qualitative description.
Vince Byrd : I don’t think really we can, I think it’s the effect of again the dedicated sales team, a national broker, all of those things, leveraging our brands as it relates to key promotional periods, etc. But I don’t think that we’re in a position to say, well that’s going to contribute X amount of incremental sales as opposed to just our long-term position and guidance.
Mark Belgya : To that, to Vince’s point, we’re holding pretty much to the $80 million, but I think as you work through the numbers and you see the strength of the overall operating margin of the company, in my opinion that’s really what speaks to the synergies of the combined businesses. We’ve elevated our operating margin significantly from pre-Folgers numbers and I think we’d rather just look at it that way.
Ian Zaffino - Oppenheimer : And then the next question would be, with the increase in guidance and the increase in free cash flow how should we think about the free cash flow as far as your distributions back to shareholders, it seems like you’ve always pegged your dividend payouts, your earnings, it looks like now you’re trying to steer us towards more of a cash earnings numbers, which I think is the right thing to do, I was wandering what you were thinking as far as the dividend to attach to that. I know you have maturities coming up, but after that.
Richard Smucker : Our payout ratio is about 40% and with these levels of earnings we’re probably going to be able to raise our dividend rates as we go forward with a nice increase but we usually do that in April every year and we just had a little over 9% increase this past April. So we’ll be looking at that again next year with our Board and we feel pretty strongly about our ability to return some of that to shareholders. And also as you know we have a historically have had a good steady program of repurchasing shares and obviously with the reverse [inaudible] trust transaction we still have about another 18 months to wait before we can really get into that program again. But that 18 months passes pretty quickly.
Ian Zaffino - Oppenheimer : And then as far as any acquisitions you’re looking at, are you more in digestion mode right now, are you looking at tuck-ins or some enabling technology acquisitions.
Richard Smucker : We’re always looking for acquisitions and I doubt if you’re going to see a transformational one in the short-term period like this last one but there, we have our lines in the water as we always say and you just never know when those are going to hit but most of those would be bolt-ons or you might call them tuck-ins, but we have nothing to announce at this time.
Operator: Your next question comes from the line of Ed Aaron – RBC Capital Markets
Ed Aaron – RBC Capital Markets : Let me add my congratulations as well, so its kind of a high class issue to have but there is a part of me that thinks that a food company shouldn’t really have like $0.40 earning surprises in really in either direction and I’m guess I’m trying to get my head around the level of visibility that you have for 2010 and just how you think about potential for variances to those targets and could you maybe kind of walk us through the forecasting process that you went through after seeing such a large, such a big positive surprise in the fourth quarter and also maybe help reconcile, you had this like 8% long-term annual earnings growth guidance and the guidance for 2010 implies flat to down earnings and I know that there are some components of the fourth quarter that were not sustainable necessarily but could you just maybe help us walk through that.
Mark Belgya : I guess I would say as we look into 2010 a key takeaway for you folks on the phone is that with the exception of green coffee, all the systems reside now on Smucker’s Oracle system. And historically if you go back and look over the last three years or so, we have been able to deliver earnings relatively close to the street expectations. So although this was certainly a surprise quarter I don’t think that would be our traditional delivery. Having said that, we went through the process for the coming year following our normal budgeting and forecasting using Smucker systems, so we’re quite confident that our visibility to all aspects, all lines on the P&L will be much clearer then they were in the last six months. You’ve got to remember we were operating under a hybrid of Smucker, Folgers, and Procter & Gamble systems and although we felt very comfortable about the accuracy of the numbers at the end, we did not have the same level of visibility that we’ll have going forward. So we have a much higher level as its around the 2010 plan.
Richard Smucker : I’ll just add to that, if you just think about back in February, January, when you look at the end of the third quarter for us, we were in unprecedented economic times, no one has ever seen certainly in our lifetime what’s gone on and we also made the largest acquisition in the history of our company and so we took a cautious look at that and said, no one really knew where the economy was going. We had a big acquisition and a number of moving parts. Obviously the acquisition is fully pretty much integrated and we felt comfortable about that. And we have a clearer view of where the economy is going at least for our industry. And we know that people are eating at home more and going to comfort foods and we’re seeing those trends continue so we’re in a much more comfort level looking forward then we were four months ago.
Tim Smucker : Let me just add that also I think as we said, we think this does vindicate that the team really understanding and delivering on the strategy and however as Richard said, in this economy we wanted to really be cautious. But the team really delivered and we have a tremendous faith in that team.
Ed Aaron – RBC Capital Markets : Just one follow-up, so that 8% long-term annual earnings growth target, would it be fair to say that if I were to back out some earnings from the fourth quarter to get to a base that would put your new guidance as an 8% earnings growth number, is that kind of how I should think about it.
Mark Belgya : I would say that’s correct, I mean I mentioned a couple of expenses, or Richard did, that are pension, amortization, but I think that is a correct way to look at our growth.
Ed Aaron – RBC Capital Markets : And then lastly the special markets division was pretty well ahead of what we were looking for, I know that there’s about $100 million of Folgers in that number, relative to your expectations was that, the part of that business that excludes Folgers, was that surprising to the upside too or did that all come Folgers.
Mark Smucker : Actually, thanks for the question, really the special markets area if you exclude all acquisitions, so you know you’ve got, in there you have Folgers, Knott’s, Europe’s Best, and even some Carnation, and if you back all of that out and just look at our core businesses, all of the businesses were healthy. Most of the businesses were up especially if you look in local currency, those businesses were up. And I will say that although we had been expecting a difficult time in our foodservice division as folks eat out less and more at home, we were very pleased to see that our numbers there came in basically flat and we were expecting much worse then that. So I would say across the board we were pleased with our base business in special markets.
Ed Aaron – RBC Capital Markets : Just on the timing of advertising spending, I think you mentioned on your last quarter call that you had planned to spend like a $15 million number for additional Folgers advertising in the fourth quarter, is that essentially what got shifted into 2010 or I mixing apples and oranges there.
Vince Byrd : I think you may be mixing apples and oranges. I’m not sure what the $15 million comment was referring to. But as I mentioned earlier, we clearly increased advertising in the fourth quarter from what was originally by about $3 to $4 million.
Mark Belgya : Just as a quick follow-up I think on that, some of the $15 million wasn’t necessarily an increase in the spending in the marketing or advertising was the shift under Smucker ownership, and so part of the commentary around what we chose not to spend was probably imbedded in that budgeted number.
Operator: Your next question is a follow-up from the line of Eric Katzman - Deutsche Bank
Eric Katzman - Deutsche Bank : I have a few questions, I guess longer-term and maybe kind of related to some of the recent questions, I know that with the goodwill amortization kind of running through for the next whatever 15 to 20 years, is there, did you give consideration to new financial goals to reflect that, so to the extent that you were talking about an 8% earnings growth, is that also kind of related to either a cash earnings or an EBITDA growth rate.
Mark Belgya : I think that the 8% growth rate still applies. We came out and we thought the best measure to factor in the amortization was the number that Richard gave and that was simply adding back the Folgers amortization of $0.40 to our range. We considered a number including a free cash flow per share. For a host of reasons, some, we were just going to have a difficulty in communicating because of some rules, we felt that that was still the best metric. We think that answered the question in terms of people looking for something that excluded the amortization so and again Richard and Tim please comment, but I think any growth expectation of 85 would apply either to our normal range or to our sort of adjusted EPS range.
Richard Smucker : I think once you’ve reset, which we’ve reset at the end of this year, the growth rate applies to that new number. So now, you’re right that our cash flow per share is usually much better then that but I think that if the financial world or investment world looks at a multiple of EBITDA which I think they are looking more at that, we have a very strong EBITDA.
Mark Belgya : Interestingly enough I think when you run the numbers and look at a free cash flow per share you’re going to get a number that’s probably going to fall pretty much in that $4.00 plus range as well.
Eric Katzman - Deutsche Bank : And then just, I know that we’ve kind of talked about this in the past in terms of mark-to-market, kind of hedges and swings and you didn’t mention anything in the quarter about that and I’m just kind of wondering, (1) how the mark-to-market stuff ended the year as a whole and then how it effected the fourth quarter.
Mark Belgya : Well the reason we didn’t comment on it for the quarter was not, it was an immaterial amount and obviously nothing compared to what we saw in the second quarter. And for the year, we were somewhat unfavorable but most of that was driven and talked about in the second quarter.
Eric Katzman - Deutsche Bank : And then last question, in terms of your kind of hedges, I know a lot of your businesses now especially with the coffee more of a pass through business and so I assume people are going to start focusing more on volume as opposed to dollar sales given the pass through, but can you just talk a little bit more about hedges and kind of where you are on let’s say some of the more I’d say non pass through businesses. Are you hedged out for six months, a year or on a percentage basis and how are you feeling about that given where the markets are today.
Steve Oakland : Maybe, one of the large ones would obviously be peanuts and its obviously not exchange traded. We are the largest peanut buyer in the world and so our volume is very important to the major [shellers] across the US and our contracts tend to be longer in that market just because of the fact that we need to be able to manage both our quality, our supply, and then their overhead base. So we’re quite long typically in those contracts.
Eric Katzman - Deutsche Bank : And on let’s say, are there any other, do you consider everything else to kind of be more of a pass through whether it’s the Eagle stuff or obviously coffee is kind of probably just hedging out two months or so at a time.
Paul Smucker Wagstaff : For example on Eagle, we do, we look at purchase contracts on that milk. I think you don’t go out as far on milk as you would on a wheat or on an oil so for Eagle, we’re looking out several months but we wouldn’t go much beyond that. We’d like to in certain cases, but right now with milk being very low, close to historic lows, very hard to get the farmers to agree to that. But on wheat and on soybean, we are contracted through fall bake which is what we typically try to do.
Mark Belgya : And then clearly the only major one left would be fruit and of course we’re going through the fruit season now through really late fall and we typically have contractual agreements with growers and that’s priced as the season progresses.
Steve Oakland : You only buy those once, the crop comes in so those typically are bought on an annual basis just because its an annual crop.
Richard Smucker : And they’re pretty stable at this point.
Operator: Your next question comes from the line of Michael Prober – Clovis
Michael Prober – Clovis: Could you give me the growth rate for the Dunkin’ business please.
Vince Byrd : Very large, it depends on compared to what, what period. I think we mentioned it now exceeds $200 million in sales, $250 million in retail sales. I think its running just under 30% for the year to date if I’m not mistaken.
Michael Prober – Clovis: So year to date, that’s calendar year to date versus calendar year to date last year.
Vince Byrd : I think that’s quarter.
Michael Prober – Clovis: For this quarter versus last year, this quarter was up 30%.
Vince Byrd : That’s correct.
Michael Prober – Clovis: And in your discussion of why margins were better in Folgers, you discussed one of the five things was mix, is that just Dunkin’ or is there other things going on there.
Vince Byrd : Its primarily Dunkin’ although there are some other higher margin items that contribute to that.
Michael Prober – Clovis: And is this the first time in how long, I don’t know the answer, that Folgers actually gained share in a period.
Vince Byrd : I don’t know that I know that answer. I’m sure there have been four-week periods when they have gained share. If you look historically it has been some time, but I have to say I don’t know that off the top of my head.
Michael Prober – Clovis: And do you think its anything specific that the Smucker’s team in the trade did to gain share.
Vince Byrd : I think its fair to say that our team should be able to take some credit for the execution elements that we referred to earlier. Conscious decisions about advertising, some key merchandising activities, the execution by both our sales and our partner Advantage, I think credit does go to that group.
Richard Smucker : It’s a lot of good, I call it good blocking and tackling and dotting i’s and crossing the t’s. Its right in the trenches and we have a great team both from a broker network and our own sales team.
Operator: Your next question comes from the line of Karen Lamark – Federated Investors
Karen Lamark – Federated Investors : Going back to your assumptions on sales for fiscal 2010, you talked about price declines in oil and baking but on coffee, how much visibility do you have and then sort of related to that, how much of the Folgers superior margins are sort of structural and therefore sustainable as opposed to the benefit of leveraging the product to cross your infrastructure and your platform.
Mark Belgya : I’ll start with second parts first, I think the best way to look at that is if you look at where coffee has delivered in the six months roughly that we’ve owned the business, that sits around a 28% segment profit, that probably is something to assume on a go forward basis so the delta between 36% and 28% would give you some sense of the difference.
Vince Byrd : And then as it relates to pricing, there’s tremendous visibility. As I mentioned earlier, depending on where the green coffee is sitting at any one point in time, when it reaches certain metrics up or down we move. And so when you compare that to last year effectively there were three price decreases taken, two of those by the previous owner, and then of course one by ourselves. The only exception to that is we took Columbian coffee up during the fourth quarter as a result of the situation in Columbia and we took that up 19% to cover costs. So its managed on a daily basis.
Karen Lamark – Federated Investors : And your competitors manage primarily the same way.
Vince Byrd : Yes, I think its fair to say that the main competitor follows typically within a very short period of time of, as we lead in pricing.
Operator: Your final question comes from the line of Bill Leach – Unspecified Company
Bill Leach – Unspecified Company: I just wanted to ask you about your guidance, the mid point of your guidance for the new year is $3.73 which is $0.04 lower then you’re operating EPS last year, is that due to the fact that you’re expecting this quarter to be a very difficult comparison a year from now.
Mark Belgya : We’ll certainly if you look at things, I mean to repeat this quarter next fourth quarter would be difficult. I think we’ve given direction on kind of how we see earnings and sales flowing through the four quarters next year. But to repeat the $1.02 this year would be unlikely.
Richard Smucker : Also the cash flow is better. The $405 to $420 that we—
Mark Belgya : I think the other thing as you’re going through and modeling, I think the key thing to keep in mind is my earlier comment on operating margin, Richard’s comment on free cash flow, just dramatically above pre-Folgers levels.
Bill Leach – Unspecified Company: And to follow-up on the previous question, you were implying that normalized coffee margins would be something like 28% on a full year basis.
Mark Belgya : That would be the normalized segment profit, that’s right.
Operator: There are no additional questions at this time; I would like to turn it back over to management for any additional or closing comments.
Tim Smucker : Again, thank you for your interest today and again I want to thank the team and really underscore the importance of going forward in this market. Clearly we’re excited about this acquisition that took place and we think that the results this year really underscore that it was right for our strategy and the team is implementing the strategy correctly. So thanks a lot and have a great day.